Operator: Good day, everyone, and welcome to Gannett's fourth quarter 2006 earnings conference call. This call is being recorded. Due to the large number of callers, we will limit you to one question or comment. We greatly appreciate your cooperation and courtesy. Our speakers today will be Mr. Craig Dubow, Chairman, President, and CEO; and Gracia Martore, Executive Vice President and CEO [sic]. At this time, I would like to turn the call over to Ms. Gracia Martore.
Gracia C. Martore: Thanks, Tony, for that promotion and good morning. Welcome to our conference call and webcast. Hopefully you have had an opportunity to review the press releases from this morning, which also can be found at www.gannett.com. With me today again are Craig Dubow, Chairman, President, and CEO; and Jeff Heinz, Director of Investor Relations. We will keep our comments brief this morning, since we saw many of you in early December. Craig will begin today with an update on the strategic initiatives we outlined at the year-end conferences and will provide an overview of our quarterly results. I will follow up with some specific details on the quarter. Craig.Craig A. Dubow: Thanks, Gracia, and good morning, everyone. We gave a pretty thorough look at the strategic plan during the media week conferences, so I will not go into any great detail again but I want to review it briefly because it describes what we have been doing this past year and where we will be going certainly in 2007. The plan is two-fold. We will augment and develop our core businesses while we continue to develop an international digital business. That began with the creation of Gannett Digital at the beginning of the year and is continuing as we do a number of strategic deals and start-ups that enhance our infrastructure. Another major component of the strategic plan is the rollout of our information center initiative across the newspaper division, its adaptation at USA Today and in the broadcast division, and finally, the beginning of its development in the U.K. This initiative goes hand-in-glove with our audience-based advertising strategy, which is being rolled out across our newspapers through an ambitious training program. Fostering innovation with the goal of creating new business and new top line revenues is another major component of the strategic plan. Ideas are bubbling up through the center for design and innovation and, as we speak, are being developed into potential solid businesses for the company. Finally, we are implementing the plan to foster leadership and diversity throughout the company in order to find, develop and retain the absolute best employees for the Gannett Company. Let me bring you up to date on the progress of the plan. Our information centers are restructuring the newsroom from the one design to get out the daily newspaper or to produce the daily newscast to one that aggregates local content to be disseminated across multiple platforms 24-7. Plans have been submitted for every one of our community newspapers and rollout is set for completion by May 1, 2007 or earlier. This is a significant undertaking and the speed and enthusiasm with which it is happening is absolutely breathtaking. I truly believe the information center is the newsroom for the 21st century. We already have experienced some early successes in both print and online and have learned how increasing traffic online can drive audiences to the print product. One example is the information center experiment in November at the Rochester Democrat and Chronicle that led not only to notably strong online traffic but also the highest single-copy Sunday sales of the year. In a reverse of the usual process, the newsroom took a web first approach with an extensive report on police salaries and overtime, publishing a database of online and on Thursday, promoting through print coverage. The online database recorded thousands of searches through the weekend. On Sunday, the newspaper reported the highest single copy circulation sales of the year. No other significant news or sports events were factors that day. Other examples of community based content that have driven increases in web traffic include Asbury Park and Florida Today. At the Asbury Park Press, an online section that included a searchable database of town-by-town crime statistics, home sales, property ownership records, and obituaries led to significantly higher traffic on the site. Florida Today in Brevard saw audience grow with the watchdog section on its website. Included were a daily interactive blog, links to all public service special coverage by the newspaper, and an area for residents to comment and offer story tips and suggestions, and a database of content, including restaurant inspections, crime reports, and a way to contact lawmakers. Our ability to reach and develop new audiences has been highlighted by the overnight success of indymoms.com. A site focused on one of the most sought-after demographics we can deliver: at home and working mothers. From its start just over two months ago, we now expect 620,000 page views for Indy Moms in January, and the site already is exceeding budget. A site in Cincinnati, cincymoms.com, was launched very recently and already we are seeing a significant number of page views, unique visits, registered users, and most importantly, advertiser inquiries. Based on our success with Indy Moms, we are expanding the number of mom sites across the country. To connect these wider audiences with revenue, we have undertaken a massive retraining of our sales staff in audience-based selling. More than 650 publishing, digital and broadcast executives will take part in four-day training programs that focus on audience-based selling over the next six months. We have achieved some success in selling to a wider audience with our niche publications. This training pushes that selling focus to all parts of the Gannett Company. In addition, we are moving forward with our national network of ad sales to our Internet sites with Tribune and McClatchy. The network will focus on the needs of our customers and will allow any national advertiser to reach local newspaper website users more efficiently. The progress we have made to date and our early successes indicate that we are moving in the right direction with a potential for outstanding results as these initiatives ramp up and take hold. Now, turning to our results for the year and quarter. For the year, I am pleased to report that the revenue surpassed the $8 billion mark and our operating cash flow totaled $2.3 billion, as we anticipated in December. Excluding stock compensation, operating cash flow result was unchanged from 2005. For the quarter, Gannett earned $1.51 per diluted share, including about $0.03 for stock-based compensation expense. Overall, our reported operating revenues for the quarter totaled $2.2 billion. Operating cash flow was slightly over $656 million. The quarter’s results were impacted by an extra week compared with the fourth quarter of 2005, making revenue growth comparisons difficult. Nevertheless, there were quite a few bright spots in what was an overall and uneven advertising environment. On a pro-forma basis, including the extra week, newspaper advertising revenues for the quarter were up over 5%. Local and national advertising contributed significantly to that growth, increasing 6.6% and about 9% respectively. Solid revenue growth from our non-daily and niche publications contributed to the increase. USA Today finished the quarter strongly, with ad revenue up double digits for each of the last two months. In the classified categories, the company-wide trends we experienced at the beginning of the quarter continued through December. Real estate was positive while employment and automotive remain negative. In the U.K., Newsquest results stabilized during the quarter and finished the year with a modest recovery that was driven by positive advertising growth in December in pounds -- the first positive top line results in quite a while. In the classified categories, a critical component of Newsquest recovery, the underlying declines continue to moderate. As expected, our television stations benefited from the strong positions in their markets and generated roughly $58 million in politically related ads. That was record political revenue for fourth quarter in the company’s history. Very healthy revenue also from Captivate contributed to the growth in the quarter. As you know, a key piece of our strategy is to develop and extend our digital businesses, and we continue to see significant growth. Online revenues for the year were over $400 million. For the quarter, company-wide online revenues were up about 25%, with strong growth in all of our segments. Our domestic community newspapers were up about 22%, and Newsquest was up about 37% in pounds. Broadcasting had an increase of over 50% and USA Today.com advanced about 42%. In December, our domestic-wide websites had 22 million unique users and reached about 14% of the Internet audience. In the U.K., Newsquest Online audience totaled 3.3 million unique users with 43 million page impressions. In fact, a study released by the national online recruitment audience survey on Monday highlighted that Fish4 Jobs is the leading recruitment website in the U.K. The study noted its mainstream appeal and strong regional reach as contributors to Fish4’s continued market domination. In the U.S., CareerBuilder continues to grow and expand its brand. CareerBuilder network revenue was up 29% compared to the fourth quarter of 2005. Traffic for the network increased 20% and averaged over 18 million unique visitors for the quarter. We are very pleased to be a significant part in the largest online job sites in both the U.S. and the U.K. With that, let me turn the call over to Gracia.
Gracia C. Martore: Thanks, Craig. Before we go into detail on our quarterly results, I of course need to remind you that our conference call and webcast today may include forward-looking statements and our actual results may differ. Factors that may cause them to differ are outlined in our SEC filings. This presentation also includes certain non-GAAP financial measures and we have provided a reconciliation of those measures to the most directly comparable GAAP measures in the press release and on the investor relations portion of our website. Now, moving to the quarter, a number of items have an impact on our results. The most significant of these, and the one that makes comparisons the most difficult, is the additional week in the quarter. The acquisition of television stations KTVD in Denver and WALT in Atlanta in the third quarter also affected the reported results for the broadcast segment. And, as we have noted in the past, the reorganization of the Texas-New Mexico newspapers partnership had an impact on our non-operating items. Our percentage of the net results of the partnership is now included in other operating revenues rather than fully consolidated in the financial statements. That is similar to our California newspaper partnership interest. Therefore, as you can see, there is no longer a minority interest expense piece in the non-operating area. Comparisons of this quarter’s results to 2005 are also negatively impacted by stock compensation expense of $12.7 million. And finally, on the revenue side, we benefited from the increase in the foreign exchange rate compared to last year’s fourth quarter. However, that also led to higher expense numbers as well. This morning, we provided you with our earnings and revenue and statistical numbers. The revenue and expense results in some cases included the extra week in December. To help you get a better understanding of the underlying revenue trends on a more apples-to-apples basis, let me run through some of the pro forma numbers that exclude that extra week. On that basis, total revenues for the quarter were up 2.4% driven, as Craig mentioned, by revenue growth in the local and national categories in addition to very strong ad demand in our broadcasting segment. Overall, pro forma newspaper segment ad revenues increased slightly for the quarter. In our U.S. newspapers, we achieved gains in local and national while classified lagged last year’s results. In the U.K., as Craig mentioned, total revenues in pounds -- again, excluding the extra week -- trailed last year’s results by about 2.8% for the quarter. However, in period 12, Newsquest’s total revenues in pounds were about 0.5% ahead of last year, the first monthly increase Newsquest has achieved since February of 2005 and the all-important classified revenues were slightly positive. At USA Today, both paid pages and ad revenues were strongly ahead of last year’s period 12 results, excluding the extra week. On the same basis, fourth quarter ad revenues were also up solidly, almost 8%, while paid pages were almost 5% higher. In broadcasting, which includes Captivate, pro forma revenues were 16.6% higher for the quarter including, as Craig mentioned, $58 million in politically related ad demand, and excluding the extra week. Substantially higher revenue at Captivate, about a 65% increase, and in online contributed to the growth. Total revenues on a pro-forma basis at our TV stations were also up nicely, slightly over 15%, again excluding that extra week. The last pacing data we have for the first quarter of 2007 show numbers down in the mid- to high-single digits, due primarily to the absence of over $22 million of Olympic revenue that we achieved in the first quarter of last year. That is where we stand at the moment. We will keep you updated through our monthly reports, and we will continue our monthly reporting. Moving on to our expenses, factors that impacted our revenue picture were also at play on the expense side this quarter. The extra week, acquisitions, stock-based compensation, as well as staff reduction costs associated with several efficiency initiatives, both here and in the U.K. Firstly, stock-based compensation totaled $12.7 million in the quarter, about $7.9 million after tax or $0.03 per share. The expense was allocated as follows: $7.2 million to the newspaper segment; approximately $1.4 million to broadcasting; and about $4 million was allocated to corporate. Reported expenses were about 9.8% higher for the quarter. Excluding that stock-based compensation expense, they would have been up 9%. The extra week was a significant contributor to those higher expenses. As you know, we continually analyze and review our operations to find opportunities to improve efficiency and to size the cost side appropriately to the revenue opportunities. In the fourth quarter, our higher level of expense reflects some of those efforts. Costs for the quarter include a little over $15 million in additional buy-out and severance costs, primarily associated with those efforts company-wide, including the consolidation of circulation call center operations, the consolidation of some printing and production operations, and other initiatives at our newspapers. We expect the cost-savings going forward from these initiatives will be significant. In the newspaper segment, reported expenses increased about 8.3%. Excluding stock comp, the newspaper segment expenses would have been 7.8% higher. Turning to newsprint for a moment, reported newsprint expense was up 6.4% for the quarter. The price was up about 7.3%, offset by about 1% lower usage. However, excluding the 53rd week, usage would have been down about 7%. So overall, summarizing this, looking at pro forma constant currency newspaper expenses, and excluding the extra week, newsprint, stock comp, and those buy-out costs, newspaper segment costs would have been up about seven- or eight-tenths of a percent. On the broadcasting side, reported expenses were up about 26%, again reflecting stock compensation and the additional expenses associated with the TV station acquisitions. On a pro forma basis, and excluding stock comp in the extra week, the increase was 11.9%, again reflecting costs associated with the significant revenue increases at both our TV stations and at Captivate. Turning to corporate expenses, stock-based compensation accounted for virtually all of the increase there. As we discussed at our year-end conferences, our tax rate for the quarter was 31.5%, and includes the favorable resolution of several state and federal issues, as well as our further refinement of our section 199 manufacturing deduction. Going back to newsprint for a second, the soft market conditions we saw in the latter part of last year have now carried over into the new year, causing newsprint prices to decline. As price pressures abate for newspapers, we maintain our support for longer term arrangements that recognize marketplace realities but continue to reflect competitive prices. As we discussed at the year-end conferences, we have budgeted for newsprint purchase prices to be down in the low-single digits this year. However, early in the year, we will have higher year-over-year usage prices, reflecting the price increases in 2006 and our FIFO basis for inventory. Touching briefly on some of our balance sheet items, total debt at quarter end stood at $5.2 billion and cash and marketable securities were $94 million. At this point, our all-in cost of debt is 5.4%, with commercial paper in that same range. For the quarter, capital expenditures totaled about $66 million, and concluded at about $200 million for the year. With respect to shares outstanding, basic shares at the end of the quarter were 234.5 million, and the quarterly average was in that same range. Finally, before we got to questions, I want to comment on the first quarter of 2007, as it presents us with quite a few challenges, as we noted in December. As I mentioned, we will have to overcome the absence of that $22 million of Olympic revenue and also the gain that we realized on the sale of the Cincinnati Reds in the non-operating area. In addition, at our domestic community newspapers, we face the toughest year-over-year comparisons, particularly in real estate. We also have the impact of year-over-year higher newsprint usage prices, and also higher interest rates. We’ll keep you updated on our revenue outlook in our monthly releases during the quarter. Now, I’ll stop and Craig and I will be happy to take your questions. Tony.
Operator: (Operator Instructions) We will go first to Lisa Monaco, Morgan Stanley. Please go ahead.
Lisa Monaco - Morgan Stanley: Yes, Gracia, could you just give us a little bit more color on January? Are you seeing in the U.K. positive growth there? And then, a little bit more color in the U.S. community newspaper group. Then just secondly, on the margins, I’m just surprised that the margins have not shown greater improvement. You are seeing a little bit of revenue trends in the newspaper group, granted you did have that $12 million of severance in there. Can you just talk about how we should think about margins for the year? Thank you.
Gracia C. Martore: Sure, Lisa. With regard to Newsquest, just to remind you of what we said in December, that extra week that we had in December for Newsquest actually, unlike the U.S. community newspapers and other operations in the U.S., is actually not a positive one for Newsquest, so they are starting off on a good note here in January, including that benefit that they are getting from not having that week between December and January, which is typically a lag on their results. But even absent that, they are feeling a little bit better about the trends they are seeing. I think it is a little too early to call whether the quarter will be a positive one or not, but all the signs thus far point to certainly moderating -- further moderation of declines and the possibility of maybe some positive news there. On the U.S. community newspaper front, as you know, our numbers exceeded our expectations that we had in early December on how we would fair for the month, and part of that is because of the extra week but also because the extra week was as strong as it was, and particularly we saw more strength in pre-prints than we have typically seen in that exact week in prior years. That being said, that’s having obviously an impact on the January numbers because that week is not, that positive week is now not in the January period. Also, I think as our friends at Scripts and others have noted, real estate advertising in Florida has certainly slowed. We have had substantial year-over-year gains in real estate in Florida, out in Phoenix, Palm Springs and those really, really hot markets. Some of that clearly has begun to slow a good deal, as anticipated as we saw housing permits decline over the last several months. But our folks will obviously try to focus on the resale side and maximize the opportunities there as well. As for USA Today, they too saw a tremendous amount of late advertising, particularly in that extra week in December, and so they are seeing a little bit of a slower start to January. But as you know, January is our smallest month of the year and I always hesitate to try to look at any trends coming out of January. Craig, you may want to comment on broadcast.
Craig A. Dubow: Yes, broadcast overall, automotive has not given us much more visibility than we had as we had discussed in December. Certainly retail had perked up a bit and has since slid back some -- still positive, however. The restaurant category in broadcast as not held up as well either. So we are off, as Gracia had commented, down in the mid-singles from a pacing perspective. We will just have to see how that develops. Obviously as you look further in the year, I suspect there will be some other political opportunities that could potentially develop by mid to late third quarter. The key there being again what Roger Ogden has been very successful at in maintaining our number one, number two rating position, I think will have us nicely positioned again as we go into that political season later in the year.
Gracia C. Martore: Lisa, getting back to the last part of your question, vis-à-vis margins, you quite rightly focused in on the fact that between the U.S. and the U.K., the severance and buy-out costs actually totaled a little north of $15 million, so clearly that has an impact. Also, as you know, stock-compensation expense this year, whereas that was non-existent in 2005. Clearly newsprint expense, as we noted, has an impact on the margin side, and then Detroit which, as we have indicated, has suffered from a very difficult economy and obviously those margins are not up to the Gannett kind of standard margin. This year we, as you know, have had to include all of Detroit in our numbers, whereas previously we did not. We fully consolidate Detroit now. So all of those factors I think went into the mix. As to 2007, we will have some pluses and minuses. Newsprint will be moderating in future quarters, so that will be a positive. Stock comp, we’ll have -- we have cycled that now so that too should be a positive. And then obviously, the key factor will be where business trends go, and it is just a little early in the year to really speculate on where margins will go but we will just have to see how the revenue trends play out for the remainder of the year.
Craig A. Dubow: Lisa, just a final comment on the U.K., we mentioned certainly the classified category, but the other area that we have seen a slight improvement in would be in real estate, specifically in the south London area for Newsquest. So that you combine those and it gives us a little better feel for where we are going. We do not want to get ahead of it, but for the first time, as we have mentioned, it is certainly more positive than we had been seeing.
Lisa Monaco - Morgan Stanley: Great. Thank you.
Operator: We will go next to Paul Ginocchio, Deutsche Bank. Please go ahead.
Paul Ginocchio - Deutsche Bank: Thanks. A quick question for you, Craig. I guess the industry is coming together on some national ad issues to make newspapers either to buy, both in print and online. I am just wondering if you thought that if Gannett joins sort the Yahoo! consortium that that sort of united industry effort would be more valuable to Gannett and the industry than two competing projects which sort of divide the industry? Thanks.
Craig A. Dubow: Paul, I think the quick answer is we have been very specific in where we are headed, and certainly with the agreements that we have with Tribune and McClatchy specifically, we plan to continue down that road as we look to the future. As we have said, certainly with respect to the open ad platform, that is not something that we necessarily would see a direct conflict with and would certainly invite all that participate within that at the same levels and structure that everyone else on our side of that would work from. We were attending a meeting in Dallas earlier in the week, of which this topic was a big discussion. We are going to continue to look at it. I think the real key is that the industry must get together, but let’s see where it goes. But there was some very, very positive discussions that were had there.
Paul Ginocchio - Deutsche Bank: Thank you.
Operator: We will go next to Craig Huber, Lehman Brothers. Please go ahead.
Craig Huber - Lehman Brothers: Good morning. A topic that has come up in the past, how much thought have you guys given in recent quarters to a potential IPO of CareerBuilder? Are there any factors that would prevent you guys from doing an IPO there, yourself and your partners? And I have a follow-up. Thank you.
Gracia C. Martore: Craig, with regard to an IPO at CareerBuilder, we and our partners continue to believe that the current ownership structure at CareerBuilder is working extremely well for all of us and have no current plans for an IPO. Obviously that is the sort of thing that could change in the future but clearly no current plans.
Craig Huber - Lehman Brothers: Then also, a subject I know you love, Gracia, dividends. Often investors always end up getting what they want in the end. You could be under a lot of pressure with the [inaudible] now, so share buy-back, you have done that, particularly in 2004, 2005. Underneath increasing pressure more recently to raise your quarterly dividend, I know you don’t like the lack of flexibility if you do do that. Have your thoughts changed at all on this subject? Thank you.
Gracia C. Martore: Craig, I think we continue to evaluate all of the options constantly as to the uses of our free cash flow. And certainly dividend is part of that equation. As we have indicated previously, we continue to look for significant examples where companies that have dramatically increased their dividend have seen a long-term, even intermediate to long-term benefit to their stock price. We are not opposed to it. We just will continue to look at it and look for whatever opportunities make the most sense to deliver shareholder value.
Craig Huber - Lehman Brothers: Thank you.
Operator: We will go next to Brian Shipman, UBS Warburg. Please go ahead.
Brian Shipman - UBS Warburg: Thanks. Gracia, if you could please quantify if possible the impact of the extra week on EBITDA? Also, of each of the divisions and for the whole company, please. Thank you.
Gracia C. Martore: Brian, what I can say is that looking at it from an EPS basis, the extra week probably added in the $0.04 to $0.05 range.
Brian Shipman - UBS Warburg: Okay, thanks, Gracia, that’s helpful. Also quickly, is it possible for you to break out how much of “Other” was the gain on the Internet divestiture? What specifically was that divestiture, and what the after-tax contribution of that was on EPS also?
Gracia C. Martore: Yes, in the non-operating area, as I mentioned, we had two small minority investments that we had. One was in Brass Ring and one was in Map Network. Because the terms of those transactions are confidential, I really cannot be more specific than that, other than to say that there was a gain that we saw in the non-operating area last year that actually pretty much offset that. Where we also picked up in the non-operating area was in again the absence of the minority interest expense on the Texas-New Mexico partnership. That was a plus. Also, some of our Internet investments, including CareerBuilder and Classified Ventures, reported better results than they did in the fourth quarter of last year, and so that was a positive in that line as well.
Brian Shipman - UBS Warburg: Is it fair to say that the gain on that divestiture did not impact EPS then?
Gracia C. Martore: Well, if you look at it year over year, it was pretty well washed out by the gain that we received last year, so on a year-over-year basis, there would not have been an impact from that specific item against last year.
Brian Shipman - UBS Warburg: Okay. Thank you, Gracia.
Operator: We will go next to Alexia Quadrani, Bear Stearns. Please go ahead.
Alexia Quadrani - Bear, Stearns & Co.: Thank you. A couple of questions. First, against the backdrop of what appears to be a generally healthy economic outlook and a continuation of good job growth, could you give us some color why you think the help wanted ad category is under so much pressure where the prints continue to decline, and even the online growth moderating a bit? Then I have a follow-up.
Gracia C. Martore: Alexia, with regard to help wanted under pressure, I think as we have mentioned in previous calls, I think that in great measure, at least here at Gannett, the cyclical factors that are at play are even more important than some of the secular issues that perhaps other larger markets may be seeing a little bit more heavily than we are. As I mentioned earlier, we are seeing a significant slow down in real estate advertising in the areas in South Florida and in the west. As you can imagine, in those economies where real estate and construction spending have been significant, a slow down and a lack of housing permits is going to cause obviously a slow down in employment as well. We have commented previously on some of our manufacturing-based economies, I think we all know that while the overall economy may be fine, certainly when you look at the auto sector, the domestic auto sector in this country, I would not say that was a particularly fine area, and so some of our markets clearly are experiencing some of the impact of that. Then we have other markets where employment classified is growing, so to us it is much more I think a factor of the underlying local economy, rather than a significant push from the print side into the online side, at least from what we can see. Obviously there is some migration, no question.
Alexia Quadrani - Bear, Stearns & Co.: I apologize if I missed it, but did you comment on whether or not there was also a positive turn in profitability growth in Newsquest in December? The last question is just on the share buy-back activity, which was a bit more moderate in ’06 and ’05, if we are looking for a run-rate for ’07, should we assume roughly the same level you saw in ’06?
Gracia C. Martore: Let me start with the Newsquest question. They haven’t reach year-over-year profitability yet, but I know Paul Davidson and his team are working very hard at achieving that, so we will definitely keep you posted as soon as we get all the good news out of the U.K. As to share buy-backs, again it is hard for us to comment on a run-rate because we are opportunistic buyers. You can appreciate in the fourth quarter, as we have mentioned in the past, when we have some not inconsequential potential acquisition opportunities that we are looking at, we tend to step out of the market so as not to step on ourselves. I can’t really give you a good guidance on the share repurchase side because that will clearly be a function of the opportunities that we look at on the acquisition side and other investment opportunities as they come up.
Alexia Quadrani - Bear, Stearns & Co.: Okay, fair enough. Thank you very much.
Operator: We will go next to Lauren Fine, Merrill Lynch. Please go ahead.
Lauren Fine - Merrill Lynch: Thank you. Just following up on that last question, if you could talk about, I don’t know if you can do it broadly, what kind of acquisition opportunities are you seeing or are you just referring to some of the obvious ones, like Tribune, or are there some other categories of investment that you are looking at? And then I have some follow-up questions after that.
Craig A. Dubow: Lauren, just very briefly, what we typically do, and this is no different, we are looking at some things, certainly on our core side, and that would include both newspaper as well as television. Certainly there are other opportunities that we have mentioned in the December conference relating directly to the digital opportunities that are in front of us. I would say again, it is not restricted in any way. We are again opportunistic buyers and we want to be in a position at any time across any of the platforms that can make the most synergistic effect for the company. I think we have been very consistent in that over the years. Really, with the big addition of digital coming into this, we plan to continue to that as we go into the future as it would make good economic sense for the company.
Lauren Fine - Merrill Lynch: Thanks. Two small questions, and then a follow-up after that. I am wondering if you could tell us on the newspaper side what ad revenues look like excluding foreign exchange, because I think that was not in the release as it typically has been. Also, if you have a comment on why the D&A was higher than it had been the first few quarters of the year on the broadcast side, if that was just through the acquisitions or if there was something else.
Gracia C. Martore: Lauren, Jeff will have to get back to you with some of the constant currency numbers. We were just, because of all the ex-53rd week numbers, we did not want to confuse it even further, so Jeff will get back to you with those numbers after the call. As to the increase in D&A in broadcast, you are absolutely right. It is associated with those new acquisitions.
Lauren Fine - Merrill Lynch: Okay, and then I guess last question, do you have any response or any sense of the Abitibi-Bowater deal and what that might mean in terms of the direction of newsprint, whether it is something you plan to fight either directly or through the NEA or anything of that nature?
Gracia C. Martore: Lauren, obviously we are going to monitor the situation carefully. We understand that the Canadian competition commission is going to be looking into it. I would suspect that it is possible that the DOJ here will also take a peak at it. It is something that as our industry has consolidated and done some of its rollups and as we have done various activities on the newsprint front in terms of web with reductions and lightweight newsprint and other initiatives, so too we are not surprised that on the newsprint front that those companies too would look at consolidation. We will just have to see how it plays out and what comes of the regulatory side of it.
Lauren Fine - Merrill Lynch: I just want to sneak one last one in. I seem to recall in the first quarter of ’06 there was a gain from Cincinnati and I am wondering if you could quantify that. I do not remember if you had in the past.
Gracia C. Martore: We did not quantify that but I think we did indicate that it was in the millions of dollars, not in the $20 million or $30 million range.
Lauren Fine - Merrill Lynch: Great. Thank you very much.
Operator: We will go next to Steven Barlow, Prudential Equity Group. Please go ahead.
Steven Barlow - Prudential Equity Group: Thank you. I wonder if you can comment on the potential effects of the Enzi-Kennedy direct-to-consumer bill that has been floating out there. Any kind of size of the impact? I would assume you would be opposing such a thing on the lobbying side, but how would it impact TV, which I think would be greater than newspapers, but overall impact and your thoughts. Thanks.
Gracia C. Martore: You know, Steve, I think it is a little too early for us to be able to quantify the impact. We are just going to have to watch and see how this all plays out.
Craig A. Dubow: Very specifically, that is all we can do at this point. Obviously we are keeping our eyes on it. All I can say is stay tuned at this point.
Steven Barlow - Prudential Equity Group: Did you talk about why December TV revenues were down?
Craig A. Dubow: No, we did not mention it specifically.
Steven Barlow - Prudential Equity Group: Any thoughts there?
Craig A. Dubow: Well, typically after any major election time, there was some softness in some of the key areas that we saw come right after the election. Retail itself actually did fairly well for us. Auto came back a bit in December, probably a bit more on the foreign, if I am correct. I would have to pull that and we can get back to you specifically on it. But I would say that is probably about it. There are a few areas that I just mentioned, but beyond that, nothing more specific. It just softens as we got further into the month.
Steven Barlow - Prudential Equity Group: Thanks.
Operator: We will go next to John Janedis, Wachovia. Please go ahead.
John Janedis - Wachovia: Good morning. You have been pretty aggressive on rates at USA Today, and I am wondering what increases you are budgeted for in ’07? Gracia, what categories are slowing now versus December? Thanks.
Gracia C. Martore: John, as we mentioned, I think as Craig Moon mentioned in December, we are looking at I think a 6% ad rate increase and my understanding from Craig is that that is being met with no resistance. I think they see clearly the value of the USA Today brand and that it continues to be a good value, even with that kind of an increase. As to slowing categories, I think that we are seeing a little bit of softening on the auto side and the tech area, and also maybe in travel. But again, I will reiterate that January is our smallest month of the year and we do not really look to January as really being indicative of trends going forward.
John Janedis - Wachovia: Thank you.
Craig A. Dubow: You might even note as we went through last year, and I think Craig even commented to January being the softest month and it continually builds through the course of the year, with the last two being the best for the finish that we have had. So this is not surprising to us.
Operator: We will go next to Michael Kupinski, A.G. Edwards. Please go ahead.
Michael Kupinski - A.G. Edwards: Thank you. Most of my questions have been answered. I just have a couple of quick things. Gracia, you mentioned the shares outstanding at the end of the quarter. Was that the actual shares?
Gracia C. Martore: Yes, that was basic.
Michael Kupinski - A.G. Edwards: That was basic? Okay, as of December 31st?
Gracia C. Martore: As of the end of December.
Michael Kupinski - A.G. Edwards: Okay, great. Could you provide us an update on the newsprint expense comparable in the first quarter? What percentage it is going to be up in the first quarter?
Gracia C. Martore: I think that we are looking at newsprint up in the mid-single digit from a price perspective, as I am recalling.
Michael Kupinski - A.G. Edwards: Okay, and in terms of USA Today being a little stronger in national, could you talk a little bit about the categories that were strong in that quarter?
Gracia C. Martore: In December?
Michael Kupinski - A.G. Edwards: In December.
Gracia C. Martore: Virtually everything.
Craig A. Dubow: Yes, entertainment was very strong. Travel did well, retail, telcom, pharmaceutical, home and building was very strong. They had very good results in real estate. Almost across the board, they had most positive success. That is just an outstanding finish to the year. Craig and his team have just done an excellent job there.
Michael Kupinski - A.G. Edwards: Looking at the numbers, would you say that would be like the broadest strength at USA Today that you have seen in terms of categories for the whole year?
Craig A. Dubow: Absolutely, without doubt. As Craig had mentioned in December, there had been a build all year and the last two months were really quite extraordinary with December really capping it off. He had just wonderful results across the board in each of the categories that I had mentioned.
Michael Kupinski - A.G. Edwards: January aside, you do not have any thoughts on how February is looking in terms of any of those particular categories kind of bouncing back a little bit, or seeing any pacings or any bookings or anything like that that would give you any indication that things are getting a little bit better outside of January?
Gracia C. Martore: It is a little too early. Our general sense, as we were chatting with Craig Moon the other day is that January and February seem a little softer, and also as you may recall, we would have had the Olympic money last year, which benefits USA Today as well, but March seems like there is a little bit of light there. But it is just a little too early to tell. What I think he has been hearing and I think Roger Ogden as well in the broadcast has been hearing is that the budgets are there. The budgets are there for print as well as broadcast, but I think folks have, after quite the large spend in December have come out of the chutes a little bit more cautious. So the budgets are there. We will just have to see how they spend over each of the individual months.
Michael Kupinski - A.G. Edwards: Could you remind me how much Olympic money you might have had last year?
Craig A. Dubow: I think it was what, 20?
Gracia C. Martore: In broadcast, and on the USA Today side, it was in the single millions.
Michael Kupinski - A.G. Edwards: Okay, great. Thank you.
Craig A. Dubow: The final thing I would say, we had just attended in the past couple of weeks some meetings in New York with some of the larger foreign auto, and certainly it would appear with the volume of units that are necessary to move this year, that they will continue to be thinking aggressively as we go forward, and that is specifically in the foreign area.
Michael Kupinski - A.G. Edwards: Great. Thank you very much.
Operator: We will go next to Debra Schwartz, Credit Suisse. Please go ahead.
Debra Schwartz - Credit Suisse First Boston: Thank you. Just a quick question on the U.K. When you talk about declines in classified moderating, are you referring mostly to the improvement that you are seeing in real estate, or are you seeing a moderation of declines in help wanted and auto as well?
Gracia C. Martore: No, we are speaking specifically about auto and help wanted as well. Actually, real estate continued to be fairly okay throughout virtually all of this period. Where we really saw it, the dips, was on the employment side, particularly in the public sector employment, and then on the auto side, where they were going through a lot of consolidations in that area. Really, we are heartened to see some of the moderation in the declines in employment and auto.
Craig A. Dubow: Just on the real estate, I think we had said this last year, from what Paul had shared with us, that really the northeast part of the country was the one that was showing a little better results from the real estate and now, added to that as I mentioned earlier, they are reporting that South London has also picked up, but that would be the only change.
Debra Schwartz - Credit Suisse First Boston: Okay, thanks, and then just a quick question on digital. I think you gave the growth rate for the quarter, but I was wondering, could you just tell us how much revenue did from online in those newspapers and TV?
Gracia C. Martore: We do not break out the digital revenues. We just report on a total number. Obviously newspapers are the lion’s share of that. Our television stations though have been doing a very strong job and as you saw, had I guess about a 50% increase in digital, but again, not off the kind of base that our other businesses are looking at.
Debra Schwartz - Credit Suisse First Boston: Great, that is helpful.
Operator: We will go next to Fred Searby, J.P. Morgan. Please go ahead.
Fred Searby - J.P. Morgan: Hi, this is Gabriel in for Fred. Just a quick question on the national networks online inventories, the 10% figure. Could you just give a little color on how that was negotiated? Related to that, are you guys selling out online across both USA and community newspapers in the non-classified area? Thank you.
Craig A. Dubow: I’m sorry, I’m not clear on the question with the 10%.
Fred Searby - J.P. Morgan: Sure. Just a little color on how that percentage was negotiated between your partners and Google on the national network, in allocating 10%. That’s my understanding of it.
Gracia C. Martore: I’m sorry -- Google?
Fred Searby - J.P. Morgan: Sorry, not Google. The national network with your partners, the 10% of inventory.
Gracia C. Martore: Obviously it was -- I cannot verify the inventory percentage, but clearly it represents our thought process among all three of us, but it is not in regard to Google.
Fred Searby - J.P. Morgan: In terms of online non-classified portion display, are you guys selling out?
Gracia C. Martore: We are seeing very strong increases in the non-classified side on the online side. I think I was just taking a peak the other day that in the fourth quarter, I think our non-classified online revenue was up about 75% in the fourth quarter. So we are seeing some strong growth there. Whether we are sold out or not, it really varies market by market.
Fred Searby - J.P. Morgan: Thank you.
Operator: We will go next to Peter Appert, Goldman Sachs. Please go ahead.
Peter Appert - Goldman Sachs: Gracia, this 0.7, 0.8% cost increase in the fourth quarter is pretty impressive. Do you think that is a good benchmark for ’08 -- excuse me, ’07? I’m getting really ahead. Basically, can you keep the cost growth below 1% do you think in aggregate in ’07?
Gracia C. Martore: We are obviously going to do as good a job as we can on the cost side. I think we have proven that we are very focused on making sure that cost side is reflective of the revenue opportunity we have out there. We are going to get some help obviously on the newsprint side. As I mentioned, we have a number of initiatives. The centers of excellence on the circulation side, some regional toning centers and some other projects that will come into play and be rolled in over the course of the year. We will try hard to do that kind of a job but I cannot really at this point speculate as to whether we will be successful quarter in, quarter out in keeping it under that number.
Peter Appert - Goldman Sachs: Okay. You mentioned $15 million, I think it was, in severance expense in the fourth quarter. Could you tell us what the full year number was?
Gracia C. Martore: It would have been easily in excess of probably $20 million, because I know in the U.K., as we have mentioned previously, they had several million dollars of what they call redundancy costs or severance costs. So in that $20 million plus range.
Peter Appert - Goldman Sachs: I am sure you do not plan this out necessarily in great detail, but do you think that is sort of a run-rate number that we should be anticipating in ’07 as well, or is there some earnings benefit associated with the elimination of that expense that next year?
Gracia C. Martore: Well, clearly there will be some earnings benefit associated with it. That’s the point of doing --
Peter Appert - Goldman Sachs: I meant more in terms of just the elimination of severance expense next year versus this year.
Gracia C. Martore: Yes, we do not, sitting here today, we do not anticipate that our severance costs or buy-out costs or consolidation costs will be at that level in 2007. But again, it is going to depend on, you know, we are constantly looking at restructuring various operations and consolidations and the like, so we will just have to report on that as things come up, but do not anticipate that level certainly at this point.
Operator: We will go next to William Bird, Citigroup.
William Bird - Citigroup Smith Barney: I was wondering if you could comment just on the quarterly progression in U.S. newspaper print only ad revenues. Second, I was wondering if you could give us just the total figure for ’06 online revenues. Thank you.
Gracia C. Martore: I will start with the last question first, on the online revenues in total for the company. It was over $400 million for 2006. As to the progression of print only, I will have to have Jeff get back to you, Bill, with that detail. I just do not have it in front of me split out that way.
William Bird - Citigroup Smith Barney: Thank you.
Gracia C. Martore: Thanks, Bill, and I think we have just time for one more question.
Operator: We will take our final question from Jim Goss, Barrington Research. Please go ahead.
James Goss - Barrington Research: Thanks. Gracia, earlier I think Lauren brought up the Abitibi-Bowater order issue. I was wondering -- I know you are the largest buyer of newsprint and you are the individual in particular who deals in that area. If you looked at the competitive and pricing dynamics out several years, logically that industry will respond to what you have been doing. Do you just wind up at a stalemate and some of the cyclical elements continue beyond this year or next year on that basis? Or is there some other way you are looking at that whole issue?
Gracia C. Martore: Jim, it is really difficult to look out. My suspicion is we will continue to see some of the cyclical ebb and flow that we have always seen on the newsprint side. I would certainly hope that with the consolidation that is going on in the newsprint industry that some of the costs, that they would achieve the kinds of cost benefits that they are trying to achieve, and therefore their cost structure will enable them to be competitive from a pricing perspective, but it is just much too soon to really try to speculate on where things are going to be in five years. I would also say that I must give total credit to the folks who run our Gannett supply operation, because they are really the ones that drive it. I give them a hard time from time to time, but they are really the ones that drive the great results that we get in that area.
James Goss - Barrington Research: Okay, and one separate issue. Craig, I know you have been very aggressive in trying to implement this change in the corporate culture. I wonder if you could comment a little on just wrapping this up and how that is going so far, whether you are getting people on board with it, if there are a lot of blocks in the way, or will they realistically achieve some results within a noticeable timeframe?
Craig A. Dubow: Jim, I have to tell you quite honestly, I am more than pleased with the results. I think Sue Clark-Johnson has done an absolutely extraordinary job on the implementation of the information center. Are there speed bumps? Of course there are, but I would say for a company this size and moving as rapidly as we are, we will have all of the newspapers converted by May. My guess is from what I am told through Sue’s group is that a lot of this can be completed by the end of the quarter, first quarter. So yes, it is moving along very rapidly. The other key area that I think we have had some very, very solid results are also with Roger Ogden on our design and innovation area. We have a number of projects that are beginning to show light for us. I think we will have some new businesses in this next year that will make some real sense in where we are going and I can only say that innovation can only work when you have the proper diversity and balance within your communities. And in fact, even last evening, we had a major kick-off meeting with the leadership in diversity group that we are working toward that will really bring both these other elements of the strat plan together. So where we are today I would say is a very good feeling. We have a big hill to climb. We have a large company to convert, but I am convinced that the employees are behind this, they understand the importance and we are going to make it happen. Thanks for the question.
James Goss - Barrington Research: Thank you.
Operator: And that will conclude today’s question-and-answer session. I would like to turn the conference back to your presenters for any additional or closing remarks.
Gracia C. Martore: Thanks very much to all for joining us. If you have any additional questions, please feel free to call Jeff at 703-854-6917, or me at 6918. Have a great day.
Operator: This does conclude today’s conference call. We thank you for your participation. You may disconnect at this time.